Naureen Quayum: [Audio Gap]
 for joining us today.
 My name is Naureen. I'm the Head of Investor Relations for Grameenphone, and I would like to welcome you to our earnings disclosure for the first quarter of 2021.
 Our presentation, financial statements and additional documents are available on our investor relations [ website ]. You can start posting your questions in the comment box. We will address [ them at the ] end of our presentation. In case you are unable to post your question, please send me an e-mail or text.
 I would now like to welcome our CEO, Mr. Yasir Azman, to start our presentation. 
Yasir Azman: Thank you, Naureen. And good morning, everyone. Thank you for joining us this morning. I would like to wish you all a happy Bengali new year and Ramadan Kareem.
 Talking about highlights for the quarter 1. We have actually a stronger start of the first quarter, in comparison to the first quarter of last year. First quarter of last year was very challenging for Grameenphone, as we could not import our equipments. And we had scarcity of numbers, resulting in negative net adds. And we were unable to roll out towers as the TowerCo regime was not functional.
 We had a stronger start in first quarter of 2021, with well-managed challenges, and this quarter also marked several milestones for both Bangladesh and Grameenphone. As the country marked its 50th year of independence, GP marks its 24-year journey in the country as a partner and enabler to growth and digitalization of the national. In this early March, the telecom regulator had a spectrum auction, where Grameenphone participated and secured 10.4 megahertz spectrum. The auction had a very good outcome, and it contributes positively towards the ultimate good of the country and the people.
 Having acquired a positive net add of 1.7 million subscribers in the first quarter, GP also marked 80 million subscribers milestone in February this year. On the 50th independence day of the country, we also enabled 100% of our -- Grameenphone's towers with power of 4G. With a growth of 50.7% year-over-year, we [indiscernible] with 21.5 million 4G users.
 We are committed to delivering value for our customers. With the 10.4 newly acquired megahertz spectrum acquisition, Grameenphone now has the largest spectrum holding of 47.4 megahertz in the country. During the quarter, we converted -- almost -- converted 1,510 new sites to 4G, resulting in a total of 15,590 towers enabled with 4G. With these factors combined, Grameenphone now has the widest 4G network in the country, which puts us in the position of further boost customer experience and quality of service. We will continue contribute to our digitalization of Bangladesh and to meet the growing need for high-speed Internet both in rural [ and other areas ] with the power of 4G in every corner of the country. We had a strong growth of data users this quarter compared to last year. And we also have seen a 37% growth of 4G handset users in our network, therefore providing us with the opportunity for future growth.
 We have improved our momentum. However, we have seen increasing volatility. There are many persisting uncertainties and volatilities remaining because of the COVID-19 pandemic. Despite a difficult year 2020, we remained focused on our agenda on delivering our strategic ambitions. With a strong market execution, we drove new acquisitions by adding offers for GP prepaid users; at the same time raising benefits of existing offers through MyGP, which is our digital channel. We put extra focus on bundles this quarter, gaining significant traction, with a strong contribution to our revenue. We revamped our overall portfolio with some significant changes such as flattening data proposition and removing distinction between 3G and 4G data offers, thus driving convenience for our customers. With cashback campaigns in -- on MFS channels, we also could increase engagement of our customers with our network. We continue to drive [ granularity-level ] focus to ensure right product reaches to the right customers, maintaining a healthy sub base growth as well as subsequent revenue growth.
 And through the lucrative offers, we drove gross add, which means new acquisition; and data through MyGP, with exclusive contextual-based offers to add value to our subscriber's life, resulting in over 9 million monthly active users and over 10 million downloads of our apps. Digital adoption was driven through MyGP via exclusive download campaigns, resulting in a back-to-growth momentum of digital recharge. We have seen 35% growth year-over-year in digital revenues, [ delivered recharge in fact in recharge volume ]. From our B2B verticals, we achieved a strong acquisition of 80,000 subscribers through product innovation and device bundling. Business customers continue to put their trust on GP for their dual capability of delivering strongest network across the country and providing industry-specific solutions. We have started providing industry-specific solutions to our business customers.
 We continue focus on empowering societies through digital inclusion and enablement; at the end of the first quarter 2021, Grameenphone connecting a subscriber base of 80.7 million people home -- out of home. 41.7 million customers access the Internet, and 21.5 million of those customers are empowered with power of 4G. We are also driving digital enablement for our businesses and institutions by catering to the concept of touch-free economy. COVID has accelerated the need for digitalization. And with industry-specific offers, we are bringing solution to our customers, business and digital journey in their life. We are enabling remote working by innovating solutions through smart connectivity bundles, audio conference and cloud solution, among others. We have signed agreement and completed biometrics with Bangladesh Technical Education Board for providing education institution identification number [ base into ] 10,000 institutions, tagging these institutions for advanced and convenient communication services.
 We continue our focus on online safety and youth upskill. A government's development and private coalition has been formed by UNDP last year to create economic opportunities for country's massive youth population through skill development and various economic enablement efforts. Grameenphone has private sector lead in this coalition, has been supporting UNDP and Bangladesh Investment Development Authority to shape up a [ multi-state ] program called FutureNation to drive this ambition. We have signed an MOU with UNDP to take this collaboration further toward exploring possible avenues to contribute in the program [ materialization ]. Grameenphone continue to work with Telenor and UNICEF on the child online safety program Be Smart Use Heart to create a meaningful and safer digital participation, especially in the context of COVID-19 scenario, for children, parents and educators.
 Before I invite CFO -- our CFO to -- on the financials, let me give some highlights on our COVID-19 situation in Bangladesh. Vaccination actually have commenced from February, which over 7 million people vaccinated till date. With the current second wave of COVID-19, current number of cases reported has grown to about 723,000, while cumulative deaths have crossed 10,000. As a preventive measure, currently the country is under strict restrictions and lockdowns declared by the government, which has already been extended by a week. Telecommunication has been declared an emergency service. Therefore, running our operation is allowed, and we are doing so. We have been diligently following our business continuity plan, which comprises of best practices with key focus on ensuring health and safety of our people and those we -- work with us as well as delivering value for our customers and shareholders. We will continue to monitor the situation, pivot when necessary, by working together with our stakeholders and together as a team in Grameenphone.
 With this, I will now welcome our Chief Financial Officer, Jens Becker, to take us through our financial performance for the quarter.
 Jens? 
Jens Becker: Thank you, Azman. And good morning to everyone.
 Let me start, as always, with a brief overview before going into the details. In Q1 '21, Grameenphone continued its solid operational performance in terms of strong subscriber acquisition and investment momentum, along with a strong EBITDA margin. The overall economy, as we just heard from Azman, is still impacted by COVID-19, where average daily new cases has reached a level of around 5,000 by the end of March, while educational institutions remain closed. Despite the volatility of this situation, Grameenphone remained active in the market with a strong gross add drive along with the continued expansion of our 4G network. In summary, Grameenphone had a minus 2.2% year-on-year growth in daily subscription and traffic revenue in Q1, after minus 2.8% in Q4 2020. However, quarter-on-quarter, daily subscriber and traffic revenue grew by plus 2%.
 Through our efficient OpEx management, we are able to maintain a strong EBITDA margin of 62.7%. With the continued investment momentum, GP's CapEx-to-sales, excluding license and lease, ratio for the quarter stood at 9.6% compared to 7.2% in the previous quarter.
 Earnings per share stood at BDT 6.6, reflecting a 16.7% year-on-year degrowth in Q1 mainly contributed by higher finance costs and favorable one-off adjustments in Q1 last year.
 [ Next, yes ]. In terms of subscriber development, Grameenphone continued its acquisition drive in the market, resulting into 1.7 million net adds in Q1 '21 while surpassing the milestone of 80 million subscribers. Our subscriber base at the end of the quarter stood at 80.7 million with a 2.2% growth from previous quarter and a 7.2% growth year-on-year. With this, according to BTRC published information as of February '21, GP subscription market share stood at 46.4%.
 The 4G population coverage reached 95.8%, which is a 4.7 percentage points increase from last quarter, which was at 91.1% 4G pop coverage.
 Now turning to the revenue development. The overall revenue development was impacted by the economic uncertainty, along with the reduction in local call termination rate effective from mid-July 2020. Year-on-year daily subscription and traffic revenue growth for the quarter stood at minus 2.2%, and minus 3.7% for total revenue. Here the 1.1 billion or minus 3.2% decrease in subscription and traffic revenue was mainly driven by a lower voice revenue of around BDT 1.3 billion.
 Next page. Our data users for the quarter stood at 41.7 million, including 21.5 million 4G data user, which means that our number of 4G data users increased by 1.7 million in Q1 '21. The growth in 4G data users was positively impacted by the accelerated drive of the expansion of our 4G network capacity, along with a continued focus on 4G conversion. Year-on-year data revenue degrew by -- minus 4.4% in Q1 '21, driven by a 6.8% decrease in data ARPU, partly offset by a 3.4% increase in data users.
 With our combo packs drive in the quarter, GP brought relevant value propositions for the subscribers. As a result, year-on-year revenue from bundles grew by 0.7 billion or more than 150% year-on-year. Besides considering the data revenue allocation from bundled packs year-on-year, GP's data revenue growth was minus 1.1% or on a daily basis basically remained flat.
 Next page. GP continued providing its customers better value through attractive market offers, including segmented campaigns; new packs to remove 3G, 4G barriers; celebration packs for the -- our 50 years Bangladesh -- of independence; and 80 million sub base celebration. In addition, GP continued its focus on portfolio integration, like we heard before from Azman, with different MFS channels. As a result, GP's average megabyte per user grew by 32.4%. The service ARPU growth was mainly impacted by lower service average minutes per user, along with a dilution in service average price per minute.
 Now turning to the costs side. Our efficient OpEx management led to a year-on-year 4.2% OpEx degrowth against the 3.7% degrowth in total revenue. With this, OpEx for the quarter stood at BDT 10.7 billion. The lower OpEx in Q1 was mainly a result of lower commissions, market spend and operational efficiency. EBITDA degrew by 4.5% year-on-year mainly due to the lower revenue, increased direct costs, partly offset by the mentioned lower OpEx. With this, EBITDA margin maintained strong at 62.7%.
 Next slide, the investment side. So GP's investment momentum continued with BDT 3.6 billion CapEx, excluding the license and lease, in this quarter, focusing mainly towards accelerated 4G network expansion. We rolled out 1,510 new 4G sites in this quarter, resulting into 100% 4G towers. At the end of Q1, the number of 4G sites reached 15,590.
 Next page. The year-on-year 16.7% degrowth in net profit was mainly driven by higher financing costs of 0.7 billion due to lower foreign exchange gain and higher tax expenses due to favorable one-off adjustments in last year. Net profit for the quarter stood at BDT 8.9 billion, with a 25.6% margin. On a reported basis, the net profit after-taxes margin decreased by 4 percentage points from last year.
 Next. The year-on-year BDT 4.3 billion degrowth in operating cash flow means EBITDA minus CapEx was mainly contributed by a BDT 3.2 billion higher CapEx and the BDT 1 billion lower EBITDA. Net debt stood at minus BDT 5.5 billion. The BDT 6 billion increase in net debt from last quarter was mainly contributed by BDT 1.2 billion lower liability; and BDT 4.8 billion higher cash balance, excluding the restricted cash.
 Now finishing off my part of the presentation with an overview of our contribution to the national exchequer, which stood at BDT 27.3 billion in Q1, equaling around 78.5% of our revenue.
 And with this, I would like to hand back to Azman. 
Yasir Azman: Thank you, Jens.
 And to recap, I must say we have very strong momentum in the beginning of 2021 as a combination of well-managed operational challenges with all our capabilities in place and playing to our strengths in the market execution. The volatilities related to COVID-19 are currently on an increasing trend. And with our strong business continuity plan and collaborative approach efforts with our stakeholders, we are dedicated to supporting our communities in the recovery of the pandemic while we maintain health and safety of our employees and our [ diligent ] partners; at the same time, drive similar awareness for our customers.
 Going forward, we'll continue to build on our leadership in technology and digital know-how, supported by innovation; at the same time, increasing numbers of subscribers, 4G users and data users, all of which will be key to delivering on our future growth.
 I would like -- thank you all. Stay safe and healthy.
 I hand back to Naureen for Q&A session. 
Naureen Quayum: Thank you, Azmanbhai. We have already started receiving some questions. Let us start with the first one. Jens, the first one, if you will... 
Jens Becker: Should I start... 
Naureen Quayum: Yes, please, why [ NSEF ] is high in this quarter. 
Jens Becker: [ Yes, okay ], why [ NSEF ] is high in this quarter. As you might recall, in Q1 last year, we had a deposit of BDT 10 billion to BTRC that was made pursuant to the order of the Honorable Appellate Division of the Supreme Court of Bangladesh referring to the dispute on the BTRC audit. So it's a [ last year's effect ]. 
Naureen Quayum: Okay, we have [ a landing ] set of questions from IDLC. Let's start one by one. How do you assess 3.5% year-over-year decline in data revenue in quarter 1? 
Jens Becker: Yes. GP's investment and data sub acquisition was adversely impacted from mid-2019 to mid-2020, which had a continued negative impact. So data revenue, including allocation from bundles and number of day, adjusted remained flat. 
Naureen Quayum: What is your outlook about data price competition in the industry? And where do you see the inflection point? Unfortunately, according to the rules of  Bangladesh Securities and Exchange Commission, we cannot give out any forward-looking statements or any outlook, so we have to refrain from answering this. 
Jens Becker: Yes, but let me answer it at least backwards, honestly. If you see the data development, I think you see, you recognize that the average data price came down significantly year-on-year on this, which is reflected. So also means it's an extremely competitive market on the data side. 
Naureen Quayum: Okay, at this point of time, we do not have any further questions. We will wait a few more minutes to see if something else comes up. Jens, I have one more question for you. Can you elaborate on the local call termination rate? How does it affect the total revenue? 
Jens Becker: Yes. As you can see from our financials, comparable to the subs and traffic revenue development versus total revenue, that's a negative impact from that, from the SMP regulations last year, of around 0.3 billion per quarter. 
Naureen Quayum: Azmanbhai, I have a question for you. What percentage of your customer base have 4G handset access? This was covered in your presentation. 
Jens Becker: I think Azman is muted. Let me then answer the -- I think there is a question on, what was it, elasticity, right, price elasticity. 
Naureen Quayum: Yes. Can you elaborate? How... 
Jens Becker: Yes. How is the price elasticity on the data front was the question that I saw here. As I mentioned before, you saw an uptick of the average usage by roughly 32%, ending up with 3 gigabyte, around [ similar, 2.94, 2.95 ], I believe, on this, which was accompanied by around 30% average price reduction. 
Yasir Azman: And Naureen, on the 4G question. We have at this point of time 21.5 million 4G users in our network. And 4G sub base consists of 29% of total GP's sub base in Q1 2021. 
Naureen Quayum: Azmanbhai, may I request you to answer one more question? Can you elaborate on the strategy? 
Yasir Azman: Yes. We remain actually focused on being an leading technology service provider to help the nation to unleash its potential, especially the youth of Bangladesh. While having that promise, we have a couple of areas or the value drivers strategically prioritized to continue creating value for our shareholders and as well as in our customer's life; and these are 4 things we are focusing on. It's data experience, data network experience; growth; modernization of our organization and the way we work, our commercial technology and overall in the staff functions. And the final one is how do you constructively work with regulators and in the business environment for the future of Bangladesh while we are bringing in new technologies and looking forward to 5G in some point of time in the -- down the line. These 4 areas remain as our strategic priorities to drive growth and efficiency... 
Naureen Quayum: [ Just a ] related question, Azmanbhai: How do you overcome COVID-19? And again, we can't give out future outlook but a little bit of flavor on that. 
Yasir Azman: At this point of time, we are having a strong business continuity plan so that we keep our customer connected and bring in new product and services solutions so that, being at home, our customers can run their businesses. And as an individual, if you are a student, you can continue your education. And to overcome from this COVID, we need to take the maximum learning out of this situation. And there have been many new way of work coming out, and eventually we need to bring those into our practice. We are building an resilient data network. As we have mentioned, that we have acquired new spectrum, 10.4 megahertz. At the same time, in March, we have rolled out 4G all over Bangladesh. All our towers are now converted to 4G. At the same time, the tower is in -- has -- towers rollout has started rolling out. Our data network will be much stronger. And that is how we will help the country and the company to overcome from this COVID situation because we do believe that the future will be riding on digital connectivity and digital solutions. 
Naureen Quayum: One more for you, Azmanbhai. Any thought process on the migration of current customer base from 3G to 4G? 
Yasir Azman: This is also to some extent related to what we have just mentioned, that now the customers can access 4G to -- anywhere of the -- from anywhere in the country. So it is 100% BTS, as the towers are now converted to 4G. And then the next thing is bringing in 4G device in our [ customer's family ]. It is a responsibility for the device manufacturers, importers, government and regulators together. And we as a body into the ecosystem, we are working with all of them so that coming devices are coming at affordable prices and all 4G because the country is ready to provide 4G services all over the country. So there is no point of bringing in new 3G device. And that is how we are working on with ecosystem players. And to add on: We do actually play a critical role from the forefront of bringing in affordable 4G devices. Even right before the launching of 4G in Bangladesh, 2018, we have brought in 4G devices so that we preponed the conversion. And we have continued that journey to innovation at affordable price. Naureen? 
Naureen Quayum: Thank you, Azmanbhai. Jens, I have a question for you. Mobility seems to be recovering, as witnessed by the subscriber growth. Why is usage down for voice then? 
Jens Becker: You see that, at least for Q1, the economy and mobility are in a recovery trend. This is what we said, if we see the growth on a quarter-on-quarter basis, which is 2%. So it's recovering, but it's not fully recovered. And please reflect that also the educational institutions are still closed. 
Naureen Quayum: Up until now, we do not see any further questions. We'll wait a few more minutes. 
Jens Becker: Yes. Should I -- there's a question on revenue cannibalization. Is that correct? [ Can you read it out for me ]? 
Naureen Quayum: Yes, revenue -- yes. How do you see the risk of [ gross ] revenue cannibalization from migration to data? 
Jens Becker: Because obviously there is a risk. I think this is what has been seen in all of the markets, right? And we see also the OTT getting stronger, but nevertheless, also you see from our -- results you have on voice is still extremely strong. It's the [ overwhelming ] part of our revenue. 
Naureen Quayum: Okay, there has not been any new questions in the past -- well, a few minutes now, so I think we can close this here. Thank you, everyone.
 In case you do have any questions, please get in touch with me. We'll try to get in touch -- we'll try get through them within today. Additionally, if you have any requests for meetings with management, please also get in touch with me. We will be available.
 Thank you. Stay safe. 
Jens Becker: Thank you. Bye. 
Yasir Azman: Thank you.